Operator: Welcome to the Geospace Technologies’ first quarter 2023 earnings conference call. Hosting the call today from Geospace is Mr. Rick Wheeler, President and Chief Executive Officer. He is joined by Robert Curda, the Company’s Chief Financial Officer. Today’s call is being recorded and will be available on the Geospace Technologies Investor Relations website following the call. At this time all participants have been placed on a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Rick Wheeler. Sir, you may begin.
Rick Wheeler: Thank you, Brittney. Good morning, and welcome to Geospace Technologies conference call for the first quarter of fiscal year 2023. I’m Rick Wheeler, the Company’s President and Chief Executive Officer, and I’m joined by Robert Curda, the Chief Financial Officer of the Company. In these prepared remarks, I will first provide an overview of the first quarter and Robert will then provide an in-depth commentary on our financial performance. After some final comments, we will open the line for questions. Some of today’s comments about markets, revenue recognition, planned operations and capital expenditures may be considered forward-looking as defined in the Private Securities Litigation Reform Act of 1995. Statements we make are based on our present awareness, while actual outcomes are affected by uncertainties we cannot predict or control. Both known and unknown risks can lead to results that differ from what we say or implied today. These risks and uncertainties include those discussed in our SEC, Form 10-K and 10-Q filings. For convenience, we will link a recording of this call on the Investor Relations page of our geospace.com website. And I recommend that you browse our website to learn more about Geospace and our products. Note that, the information recorded this morning is time sensitive and may not be accurate at the time when listens to the replay. Yesterday, after the market closed, we released our financial results for the first quarter of fiscal year 2023. Spanning October 1st through December 31, 2022. We were pleased to see that, revenue for the quarter reached $31.1 million, reflecting an increase of 73% over last year’s same period. Moreover, the amount represents the company’s highest quarterly revenue in the last 8.5-years, going back to June of 2014. Gross profits for the quarter were also strong and reached a three year high of $10.5 million. Factoring in all other expenses, the first quarter posted a narrow net loss of $0.01 per share. However, it must be noted that, the slight loss comes after including $1.4 million in one-time charges. These charges were a combination of restructuring costs, write-offs of Russian inventory and non-recurring repair costs. Those actions stem from our commitment to achieve future profitability through streamlining our operations, reducing operating costs and increasing revenue in each of our business segments. The majority of first quarter revenue came from our Oil and Gas segment led by wireless seismic products. While the sale of GSX land equipment from our rental fleet was a contributing factor. The largest portion of wireless seismic revenue came from our OBX ocean bottom nodes. Rental revenue from performing OBX rental contracts was certainly the largest component. However, a significant amount of OBX related revenue was the result of compensation for OBX equipment that was lost by a rental customer during a survey. We intend to build out additional OBX nodes to replenish this lost equipment in the rental fleet, as demand for both the deepwater and shallow water OBX models continues to strengthen. Many of our existing customers have stated an intention to move their crews and to follow-on client contracts after their existing surveys are complete. Combining this demand with an increasing number of shallow water surveys being put out for bid, interest in using our New Mariner nodal technology is also growing significantly. Our strategic diversification efforts continue to bear fruit, as evidenced by the performance of our adjacent market segment. First quarter revenue from these products within 1% of its all time records set in last year’s third quarter, adding traction to our move toward profitability. As a premier manufacturer and supplier of ruggedized water meter connector cabling, our market position in these products continues to climb. To maintain this position, we work closely with trusted water meter companies to meet the design and specifications of their domestic municipality customers. The breadth of discussions taking place with these partners for specialty cables as well as the Aquana smart valve products gives us confidence, that future growth in this market will continue. With that, I will now turn the call over to Robert to give more financial detail on first quarter performance.
Robert Curda: Thanks, Rick and good morning. Before I begin, I would like to remind everyone that, we will not provide any specific revenue or earnings guidance during our call this morning. In yesterday’s press release for our first quarter ended December 31, 2022, we reported revenue of 31.1 million compared to last year’s revenue of 18 million. Net loss for the quarter was a 100,000 or $0.01 per diluted share compared to the first quarter of last year’s net loss of 6.8 million or $0.52 per diluted share. Our oil and gas product revenue is as follows, traditional product revenue for the three month period ending December 31, 2022 was 2.8 million compared to revenue of 600,000 for the last year. The increase in revenue is due to higher demand for seismic sensors and marine products. Seismic sensor sales are up due to the long-term order with an international company and a modest increase in domestic sales and our Russian entity. Our wireless product revenue for the quarter was 17.2 million, an increase of 98% compared to revenue of 8.7 million last year. The increase in revenue is due to higher rental revenue from higher utilization of our OBX rental fleet and higher marine wireless product revenue from a rental customer’s compensation for lost OBX nodes. Moving to our adjacent markets product segment, our industrial product revenue for the first quarter was 7.9 million, an increase of 58% compared to last year’s revenue of five million. The increase in revenue is due to a higher demand for our smart water meter connectors and cables. Imaging product revenue for three-months ending December 31, 2022 was 2.9 million, a decrease of 8% when compared to 3.2 million from the same period last year. Lower demand for thermal film products during the holiday season explains the slight reduction in revenue for the first quarter as compared to the same prior year period. Revenue from our emerging market segments for the first quarter of fiscal year of 2023 is 93,000 compared to 137,000 for the first quarter of fiscal year 2022. The revenue for both periods is related to the ongoing contract with the U.S. Customs and Border Protection Agency. Our consolidated gross profit for the first quarter of fiscal year 2023 was 10.5 million compared to 1.7 million last year. The increase in gross profit was due to higher utilization of our OBX rental fleet, higher marine wireless exploration product sales, and increase demand for our water meter cables and connector products. The first quarter of fiscal year 2023 operating expenses are 10.8 million. This is an increase of 26% when compared to 8.6 million for the first three-months of fiscal year 2022. The increase is due to a favorable non-cash adjustment reported in the prior year for a change in the estimated fair value of contingent consideration related to our quantum and at the sites acquisitions. Severance costs we announced in our prior teleconference and higher selling general and administrative expenses resulting from our increase in revenue. These increases are partially offset by a decrease in R&D project costs. Q1 2023 cash investments into our property plant and equipment were 265,000 and cash investments into our rental fleet is 162,000. Our 2023 capital investments into the rental fleet could be as much as six million provided new rental contracts warrant the additions to our fleet. Investments in property plant and equipment could be as much as one million for the fiscal year. Our balance sheet at the end of the first quarter of fiscal year 2023 reflected 12.3 million of short term investments, and we made cash - and short-terms investments and we maintained additional borrowing ability of 8.5 million under our bank credit agreement. Thus, the Company’s total liquidity was 20.8 million. We currently have no debt and own numerous real estate holdings in Houston and around the world that are owned free and clear without any leverage. This concludes my discussion, and I will turn the call back to Rick.
Rick Wheeler: Thanks, Robert. After the first quarter closed, our Quantum Technology Sciences Subsidiary secured a new contract with an undisclosed federal government contractor. While the initial dollar amount of the contract is modest, it holds strategic significance in future potential for serving an application unrelated to our previous border security work. In conjunction with multiple active discussions surrounding other unique applications of Quantum’s Analytics Technology, we believe the outlook for projects in our emerging market segment is expanding. As part of our plans for streamlining operations and reducing costs, we anticipate completing the sale of our satellite use facility within the second fiscal quarter. This facility currently houses our OBX rental operations, which we are in the process of consolidating into our main campus location. In accommodating this consolidation, we sold some obsolete equipment after the first quarter closed. We believe the continuation of our planned efforts and vigilance in maintaining a strong balance sheet will successfully lead us to profitable returns for our shareholders. With that, this concludes our prepared commentary and I will now turn the call back over to Brittany, our moderator, for questions from our listeners.
Operator: Thank you. [Operator Instructions] Now we will take our first question from [Martin Laurinson] (Ph), who is a Private Investor. Your line is now open.
Unidentified Analyst: Hi, to Texas from Germany, and thank you for taking my questions. I have a few as I may. The first one, can you shed some additional light on the property sale, you indicated last quarter on this call as well? Are we talking about the Langfield Road facility?
Rick Wheeler: Yes. That is exactly the one we are talking about.
Unidentified Analyst: Okay. Thank you. And in terms of streamlining operations, can we expect further sales this year?
Rick Wheeler: Well, we are certainly going to be examining our assets with our property, plant and equipment as far as that goes. I don’t think there is any anticipation of our properties at this point in putting those up for sale, but we are open to doing that. If in fact our examination shows that would be beneficial for us in our overall approach in our plan towards profitability.
Unidentified Analyst: Got it. And on the higher level, can you address market share and how that potentially shifted since the onset of the pandemic, especially given the consolidation that seems to be happening and picking up in Europe as well?
Rick Wheeler: Well, I mean, the market is certainly picking up. The pandemic for the most part had a massive effect on the overall demand for oil and gas and subsequent to that. Seismic exploration for several years now has been at the lowest it is ever been in history. But that being the case, we see with what is happening in Ukraine as well as the fact that, China is coming out of its isolation more so from the pandemic, the demand for oil and gas and energy in general is improving. I think that is what is driving most of what we see today. It is true that, we don’t see as much improvement in the land side of things, although there are signs of that also improving. Most of what we see is occurring in the offshore space. And certainly that is why you see that our OBX, our rental fleet and ocean bottom nodes are driving our revenue at this point in time.
Unidentified Analyst: Got it. Okay. And then lastly, do you see room for further freeing up of working capital that we have seen over the last few quarters and what do you - what can we expect the cash balance to look like?
Rick Wheeler: I think we are looking good for cash. Again, we don’t give any guidance to how those things are manifesting in the future as it were, but we do conservatively manage our cash as is exemplified for the - many years gone by. So we expect ourselves to be in good shape with respect to our cash.
Unidentified Analyst: Okay. Thanks and good luck.
Rick Wheeler: Thank you very much.
Operator: Our next question comes from Bill Dezellem with Tieton Capital. Your line is open.
William Dezellem: Thank you. Rick, I would like to start with the comment you just made about the land market and that there are some small signs that it is improving. Would you walk through those for us?
Rick Wheeler: Well, many of these improvements are coming about in foreign locations. Certainly in the Canada and North America, things are still depressed, but even there we are seeing improvements. To the extent that seismic exploration has just been at such low levels, there is a little bit of pent-up demand that I think that we believe is what might be driving some of that. But overall, it is still too early to tell, what sort of recovery we might see in the land side of the business.
William Dezellem: Thank you. So then relative to the new Mariner product, you’d mentioned that, there was increasing interest. Would you help us understand whether that is predominantly an interest in rental or if that product is gaining purchase interest?
Rick Wheeler: It is actually both, but certainly, the Mariner represents a very cost effective solution compared to what has historically been available for ocean bottom nodes. That was one of the primary design targets of our engineers was to ensure that we could maintain the quality while lowering costs in that manufacturer. I think we have been successful with that, and it has features that you are not going to find in the general equipment that is out there. That being said, I think that is driving an interest, both on the sales side and on the rental side, but I’m sure that the rental of those units will certainly be a driving force, and will have to see to what extent the sales also manifest.
William Dezellem: And Rick, how are you thinking that you may look back, say a couple of years from now on this and see Mariner versus OBX in terms of what is a bigger driver of the business?
Rick Wheeler: That is really too hard to predict. So long as the prevalence of ocean bottom surveys persists. I think the Mariner has a good future for it, as it were. The OBX technology is serving that industry very well, and the Mariner is going to serve it equally well, if not better.
William Dezellem: And do you see cases where customers will be making a choice between OBX and Mariner, or where Mariner will be taking share from OBX or are they really serving different applications?
Rick Wheeler: No, I think, you are not going to see one overtake the other particularly from a use case point of view. The Mariner is a shallow water designed node just like the OBX 750. So to that extent, it is been carefully designed such that you can mix these units. The data from each of them is completely cross compatible, as well as the systems that operate that equipment can operate both simultaneously and any cross combination of the two. Now, the deepwater OBX is one that has seen some of the very same improvements embedded in its design so to speak. So, it serves a different market, but you are not going to see the Mariner represent a different use case than what the current shallow water version of the OBX uses. So, and they are both going to be able to be mixed together.
William Dezellem: Great, thank you. And then shifting to Aquana are the discussions that you are talking about there with Aquana. Are those with the same buyers of the water meter connectors or is this a different buyer set that you are that you are interacting with?
Rick Wheeler: It is somewhat a combination of both, but it definitely intersects with a completely different market and group of customers than the water meter cables just themselves do. The fact is that the water meter cables are used in the same environment that those valves are going to be used. So there is some crossover.
Robert Curda: We also tar are targeting Aquana valves for property management purposes also. So that is an entirely different set of customers.
Rick Wheeler: Yes, that is a good point. So it is not really addressing the aspects of the needs of the municipalities. It is a different market altogether.
William Dezellem: Okay and so in that case, you would be interacting with a real estate owner or property managers that would be making the decision to implement these either with new construction or with existing or with existing apartments,
Rick Wheeler: That is exactly right and/or the service providers that perform those sorts of services for those property owners.
William Dezellem: And then shifting to Quantum, if we may would you please discuss the new contract that happened here after quarter end?
Rick Wheeler: Can’t really get into too much of it. As far as the details of that contract, it is with a very well known federal contractor for very specific and targeted purposes that really aren’t available to be discussed at this point. But we will - it is easy enough to say that the available commerce with this particular use case is going to be significant.
William Dezellem: Thank you. And then, in the release, you mentioned that, Quantum has an expectation for additional orders. And I did take note that, that orders was plural as it was written in the release here in the remainder of this fiscal year, so the next nine-months. Talk more to that if you would please.
Rick Wheeler: Well, one of the things that we are doing and quite in the middle of is, expanding the utilization of the Quantum analytics into other spaces. That includes our oil and gas and other components of the energy business. So, much of what we are examining is going to fall into that category, as well there are some additional government agencies that we are in discussions with for things and we do have those expected contracts to be issued sometime this year.
William Dezellem: Great. Thank you both.
Operator: Our next question comes from Jeffrey Feldman with Primary Succession Capital LLC. Your line is now open.
Jeffrey Feldman: Thank you. Thank you for the updates, on the company. I have been a shareholders a long time, and I think you guys just keep fighting, which is tremendous. And it sounds like things are just starting to turn, which is great. And then my question really goes back to liquidity and cash availability to see the outcome you are all hoping to achieve. The cash balance against the CapEx that you had reported. You are going to need working capital in so forth. I understand the bank line is there and I understand it is a forward-looking comment. But it is kind of simple math. When I look at it, I’m sort of feeling this year and a half two years to make this work or there is something existential on the horizon. Am I seeing that right or do you guys see it differently?
Rick Wheeler: We don’t - looking at our forecast, we think we are in pretty good shape in this next 12-months in a cash positive position. So I’m not really concerned from a liquidity point of view at this point.
Jeffrey Feldman: Great, great. If you are not nervous, I won’t be nervous. Thanks guys.
Operator: [Operator Instructions] We will take our next question from Scott Bundy with Moors & Cabot. Your line is now open.
Scott Bundy: Good morning, guys. So Rick, can you just give us a rough idea of what the building - the value of the building will be what sold in the quarter?
Rick Wheeler: I don’t think we have revealed that. I mean, I’m sure it will become very, very evident, as we close that this quarter. We definitely anticipate closing that sale in the second quarter here. It is not earth shattering, but it is also a substantial benefit to us and we do anticipate a gain on that property on our books.
Scott Bundy: And how much, if any of the six million that you have earmarked for rental equipment, are you guessing would come from Mariner?
Rick Wheeler: Well, the Mariner is not going to begin contributing until later on this fiscal year, I can tell you that. And certainly, the construction of the Mariner is going to be a big part of what that is. I think the revenue from the Mariner is going to be something that, you see more or so in the tail end of the fiscal year and then going forward.
Scott Bundy: And Rick, no discussion regarding PRM, can you give us some idea, if those multiple customers are still interested. We keep hearing an awful lot about the deepwater market opening up quite dramatically from other players in your field?
Rick Wheeler: That is a very good question. And yes, there is not really much discussion because there is not much really new. But the interest is absolutely ongoing and active. We have had active discussions with those representatives here at our facilities, as well as being at their facilities. So the interest is still there. And I think that, to your point, the examination of getting the most out of these deepwater assets is largely what keeps those discussions floating, and in the top of mind.
Scott Bundy: Rick, can you just give us a rough idea of the potential addressable market that we are talking about for Quantum, I mean, are we talking PRM type contracts or can you give us any idea of what that addressable market looks like if you are successful?
Rick Wheeler: Again, I don’t think we have actually revealed what we think some of those numbers are, but we wouldn’t be bothering with it if we didn’t think it was significant. And those opportunities certainly are going to be ones that the government itself is going to be involved in both for the military as well as some of the law enforcement agencies.
Scott Bundy: Last question, for the land wireless customers, has most of that existing inventory by your customers been absorbed, or is that still an issue?
Rick Wheeler: No, we still have inventory as it relates to the wireless land product. Certainly, some of it has made its way to the hands of customers, and in fact, that is what we were referring to in this release. There was a component of revenue in that space in the wireless product space that was land equipment sold out of our rental fleet.
Scott Bundy: I’m sorry, one more question. So this environment to me reminds me a lot of 2005. Would you agree in terms of what you are seeing?
Rick Wheeler: In my mind, every one of these cycles has its own character in its own personality. While I do see some similarities to what has happened in the past in that regard, there are a lot of things that are very unique to this situation. So, I don’t know that I would have that one-to-one correspondence, but I do understand the analogy you are drawing.
Scott Bundy: Thanks guys.
Operator: We have a follow-up question from Bill Dezellem with Tieton Capital. Your line is open.
William Dezellem: Thank you. Continuing down the question relative to PRM, how are the discussions different today versus back in, well, a decade ago, 2012 when those conversations were taking place?
Rick Wheeler: Well, I think at the time, earlier on, they were anticipating that they would be putting out a tender sooner than that actually was going to occur. So the discussions I think have got a little bit more realistic. That is why we would say that even amidst these discussions, we don’t expect anything to land in such a way that it would offer the opportunity to generate any revenue in this fiscal year. So all that that we see in these discussions are all focusing on things that would come in subsequent fiscal years.
William Dezellem: And are the oil companies looking for something different, whether it be a use case or configurations just philosophically different today versus then very similar?
Rick Wheeler: I think they are very similar. I mean, these are long standing needs and the fields are have long lifetimes to them and they want to get into that early. So some of these are brand new fields. Other of these are fields that already exist. So I think that sums up the general nature of the discussions and it is why they are basically very similar to what they have been.
William Dezellem: And Rick, you said that you don’t anticipate any anything that would lead to revenue this year. Do you anticipate - you may see orders this year even though they would not contribute to revenue in this fiscal year?
Rick Wheeler: I think that is possible, but again, I’m not putting high probabilities on that occurring given the slip that has already occurred in several occasions on some of these anticipated tenders.
William Dezellem: Alright and then, finally, what was the revenue that was associated with the lost OBX equipment that was then per customer?
Rick Wheeler: You know, we did not reveal that exact number. And quite honestly, the only ones that need to know that exact number are those that are party to the transaction largely because competitors both in our area and in our customer’s area could try to leverage that information to their benefit in some way. But I will say that, it was significant and that was and we didn’t make note of that to be as transparent as we could in our revenues. But I will also say that, that same the fact that we had quarterly revenues that were the highest, they have been in 8.5 years, within that same span. Even without that sale taken out, there would have been very few maybe three quarters that would have in that time span that would have been better.
William Dezellem: Great. Thank you.
Operator: [Operator Instructions] We will take our next question from Michael Melby with Gate City Capital. Your line is now open.
Michael Melby: Hi. Good morning, gentlemen and congratulations on the new results. And within the commentary, you talked about a path to profitability and that is encouraging to a lot of investors I think and realizing you don’t discuss, could you talk at a high-level on the components you envision to get you to profitability and realizing it is probably is dependent on higher revenue, but as you think about your business plan and your business model, you can highlight the components you need to improve either on a revenue or cost side to get you to where you want to be. I think that would be a helpful way to frame it to the investment community.
Rick Wheeler: Yes. I think all fronts are going to have to be pursued, Mike. And that is exactly what’s in our plan. Part of that is examining in great detail the cost structure of our manufacturing operations, which aspects have the greatest efficiencies, which ones do not, where our assets and our working capital is best put to use? So those pieces of the puzzle are ones that we are still putting together and we are going to be acting on those, as we discover them. On the revenue side, there is a clear aspect that, revenues need to increase in all of these segments. So there are expansion efforts going on in some areas within the organization, to increase our capacities for very well known products that we see good forecasting on. So it is going to be a combination of those sorts of things. But as you say, none of which in any specific manner can we really annotate at this point.
Michael Melby: I think it can be challenging from our side to think about how those all come together. Could you highlight any timeframe that you thought about internally to get you close to your profitability goals?
Rick Wheeler: Well, we are certainly targeting this year, as making significant improvement on that. As far as what you have seen in this quarter, you are going to see more of that as we go forward in terms of our examination of things, restructuring of things, as it were. So it is not something that happens overnight and it is something that requires some really pensive examination, as we go forward on this stuff. So I wish I could give you a timeline, but that would kind of be not really something I could give you something accurate on it.
Michael Melby: Okay. And just maybe a quick clarification, on the OBX rental equipment that was lost, was that included in product revenue or rental equipment revenue?
Robert Curda: It was included in product revenue.
Michael Melby: Thank you.
Operator: And we will take our next question from [Father Amagou Levenson with Levenson Capital Management] (Ph). Your line is now open.
Unidentified Analyst: Thank you. Good morning. I think really the bottom-line here is from a qualitative and a quantitative perspective is that, under the current leadership of the company, something like 97% of shareholder value has been destroyed. Retained earnings and owner’s equity is dramatically been reduced for the owners of the company. And the only way you guys have come close to breakeven this last quarter apparently is because of an equipment loss, the Board’s bloated, management salaries and benefits are always hidden in SG&A, which is always going up. The Quantum acquisition hasn’t really panned out at least not yet and it is been a couple of years. And it just feels like you guys are always hanging a carrot in front of investors. But in the meantime, while the Board and the management team is pretty well compensated, investors are getting host. To me, that looks like corporate governance failures. And it really should lead to Rick Wheeler’s outster. A Board that leaves the management team in place this long with this many loss. It is 42 quarters of losses? I mean, the price of oil goes up, you guys lose money. Price oil goes down, you guys lose money. The economy is great and booming, you guys lose money. The economy is doing badly, you lose money. That is the corporate governance failure. And I think until the investors and the Board are honest about it, you are going to keep losing money. Every conference call, somebody asks Rick Wheeler, when are you going to be profitable? You can never give a clear, intelligent solid answer. Investors should be very, very concerned about that. I have always said, you guys have great technology, you have got great R&D. You are sitting on a ton of assets, but the day’s going to come when you run out of real estate to sell, and you are going to run out of hard assets to sell to buttress your cash position. These are just not adequate answers for investors, and I think the company needs to take a hard look at who really owns that company and start thinking about why these failures are going on year after year after year. I wonder what you guys have to say about that.
Rick Wheeler: Well, I think in many respects, you are really all wrong about how the business operates. I mean, in most respects, we are managing ourselves well -.
Unidentified Analyst: I’m not construction of shareholder value under your leadership. Rick, is that wrong? Am I overstating? I’m understating that number. Is that wrong? Well, businesses exist to earn a profit and to increase the value of their shareholders wealth and their investment in that business. You have not done that. You have been in reverse for eight years. Is that not a true statement? Show me where on the income statement a balance sheet. I’m wrong. Look at your retained earnings. You have eroded them. Look at your shareholder equity, it goes down every single quarter. That is straightforward -. Well what are you going to do about it? That is what we got to find out.
Rick Wheeler: Well, I think, that is something that you are seeing, I mean, to the extent that we are restructuring what we are doing and aligning ourselves with those components that are more revenue producing you are going to see that occur.
Unidentified Analyst: Well, I hope that is true, because honestly, I think this board should be cut in half. I think it is extremely bloated for a company with your market cap size. And honestly, Rick, you should step down. Your performance has been terrible economically. You seem like a nice guy, but I think these shareholders would rather have an effective CEO than a nice guy. And this is just an indefensible performance. The price of oil shot up, you guys can capitalize on it. Your compositions capitalizing left and right. There is record spending with E&P companies. Well, I mean, somebody just asked your CFO, he, he answered we are going to be cash flow - cash positive. Well, that is not that encouraging. I mean, look at your burn rate. The bank is cutting your credit line, your cash is constantly dwindling. You are selling real estate left and right, but you are going to run out of real estate. In fact of the matter is, when Gary was running the company, he was a great CEO, but Gary’s retired. He is out on some exotic vacation every time I talk to him. You are not Gary Owens. And that is the problem here. And all of those assets were accumulated under Gary’s leadership, and now we are just burning through them. Look, this isn’t an indictment of you personally - Rick, but something has got to change, and it is got to change quick. And you got to get all these academics off your board who all they talk about is playing with rocks. And you got to get some people who understand Wall Street on that board because that is who you are talking to. You are talking to Wall Street, you are not talking to geologists from the Colorado School of Mines. So that is my $0.02 and I hope you guys take it to heart.
Rick Wheeler: Alright. Well noted.
Operator: It appears we have no further questions at this time. I will turn the program back over to Mr. Rick Wheeler for any additional or closing remarks.
Rick Wheeler: Alright, well, thanks Brittany, and thanks to all of you all who joined our call today, and we look forward to speaking with you again on our conference call for the second quarter of fiscal year 2023 in May. So thanks again and goodbye.
Operator: Thank you. This does conclude today’s Geospace Technologies’ first quarter 2023 earnings conference call. Please disconnect your line at this time, and have a wonderful day.